Operator: Ladies and gentlemen, thank you for standing by, and welcome to the United States Steel Corporation Third Quarter 2011 Earnings Call and Webcast. [Operator Instructions] As a reminder, today's call is being recorded. With that being said, I'll turn the conference now to the Manager of Investor Relations, Mr. Dan Lesnak. Please go ahead.
Dan Lesnak: Thanks, John. Good afternoon, and thank you for participating in the United States Steel Corporation's Third Quarter 2011 Earnings Conference Call and Webcast. For those who are participating by phone, the slides are included in the webcast or also available under the Investors section of our website at www.ussteel.com. We will start the call with introductory remarks from U.S. Steel Chairman and CEO, John Surma, covering our third quarter results as well as certain strategic projects we are pursuing. Next, I will provide some additional details for the third quarter; and then Gretchen Haggerty, U.S. Steel Executive Vice President and CFO, will comment on a few financial matters and our outlook for the fourth quarter. Following our prepared remarks, we'll be happy to take your questions. Before we begin, I must caution you that today's conference call contains forward-looking statements, and that future results may differ materially from statements or projections made on today's call. For your convenience, the forward-looking statements and risk factors that could affect those statements are referenced at the end of our release and are included in our most recent annual report on Form 10-K and updated on our quarterly reports on Form 10-Q in accordance with the Safe Harbor provisions. Now to begin the call, here is U.S. Steel Chairman and CEO, John Surma.
John P. Surma: Thanks, Dan. And good afternoon, everyone. Thanks again for joining us. Earlier today, we reported third quarter net income of $22 million or $0.15 per diluted share on a net sales of $5.1 billion and shipments of 5.5 million tons. Excluding the effect of foreign currency losses, primarily related to the accounting remeasurements of an intercompany loan, our adjusted net income was $118 million, less than the second quarter as we expected, but still a significant improvement of almost $300 million from the third quarter of last year. Our adjusted earnings of $0.72 per share was almost $2 per share better than last year's third quarter. Now before discussing our financial results in more detail, I want to comment, as I usually do, on our safety performance. We continue to make significant progress in the elimination of injuries and illnesses in our company. Since 2005, we have reduced our OSHA recordable rate by 47%, and we have reduced the number of days away from work injuries by 66% over that same period. We're not content with this performance, even though it is quite good compared to the average for our industry, and we continue to strive for our ultimate goal of 0 injuries. With the support of all of our employees, we remain focused on having each and every one of our people return home from work safely every day. Now let me turn to our third quarter results. Our Flat-rolled segment had another strong quarter, with operating income of $203 million. The decrease from second quarter results was caused by lower average realized prices due to lower spot market demand in prices and lower shipment volumes and capability utilization rates, reflecting increased domestic capacity and imports. While our operating income of $53 per ton was less than the $95 per ton we achieved in the second quarter, our margins were significantly better than they were in the third quarter of last year, as our strong iron ore position enabled us to benefit from this year's comparatively stronger price environment. Now before moving on to our European segment, I would like to say that we're pleased to have a new labor agreement in place at our Hamilton Works. We have good people at Hamilton, and we are glad to have them back to work. Gretchen will provide some details on the new labor contract and our near-term plans for the facility in a few minutes. Previous to Europe, our operating loss increased to $50 million compared to an $18 million loss in the second quarter primarily due to lower average realized prices as a result in a weaker spot market caused by the very difficult economic conditions in Europe, and in particularly, southern Europe. While our raw materials costs were in line with the second quarter and we have lower operating costs, primarily related to reduced facility maintenance and outage spending. We continue to face particularly -- particular challenges in Serbia with comparatively high raw materials costs primarily due to our complete reliance on purchased coke and a less favorable product mix. A slow recovery in the Bakken region, in particular, and pressure from lower-priced imports has resulted in reduced spot market prices and weak demand. Our European raw steel capability utilization rate for the third quarter decreased to 71%, our lowest rate since the second quarter of 2009, as a blast furnace in Serbia that was idled during the second quarter in response to weak demand remained idled throughout the third quarter. Now before moving on to our Tubular segment, let me be clear that we are not satisfied with our poor financial results in Serbia, and we are evaluating all options to improve our situation. Our Tubular segment has best quarter since 2008, with income from operations of $134 million or $279 per ton. Demand for our tubular products remained firm throughout the quarter. Rig counts continue to increase as high liquids prices supported increased drilling activity. Shipments in the second quarter increased by more than 10% to 481,000 tons. The significant expansion in our Tubular margins was driven by increased price realizations for both seamless and welded products, as well as lower substrate costs for hot-rolled bands for our welded pipe facilities. Now despite the challenging economic conditions and political uncertainty we are all facing, we continue to focus on the long-term and on our customers' needs. As one of the premier automotive suppliers in North America, we are working with our customers to meet the increasingly challenging and somewhat inconsistent requirements for lighter vehicles to improve fuel efficiency and stronger structures to improve safety performance. With our partner, Kobe Steel, we are constructing a 500,000 tons per year continuous annealing line at our ProTec joint venture in northwest Ohio. The new line will extend our existing coated advanced high-strength steel capability to include cold-rolled advanced high-strength grades that our customers require for their next generation of vehicles. It is also designed to process new and higher strength grades currently under development to meet the future material demands of our automotive customers. We believe that the demand for advanced high-strength steels will increase significantly over the next decade. The grades of steel we will be capable of producing at this new facility will position steel to remain the material of choice for our automotive customers as a cost-effective and environmentally sound solution to meet their need for lighter weight and greater fuel efficiency while meeting the improved safety standards we all want for our families. Turning to our Tubular segment. The ongoing development of shale resources for both oil and gas, as well as the recovery of offshore drilling, provide excellent long-term opportunities for our Tubular operations. We are the only fully integrated domestic tubular producer and the only domestic producer offering a full range of products and services. We're the leading supplier of energy tubular product to the domestic market, and have been focused on expanding our capabilities to provide the products and services our customers need for the increasingly demanding and complex drilling requirements in these growing markets. With growing demand for heat-treated OCTG products in North American market, we have constructed new facilities and upgraded existing facilities in Ohio, Alabama and Texas. Since 2008, we've increased our capability to meet increasing demand for small diameter heat treat product by more than 15%, including the addition of a new heat treat and finishing facility in Lorain, Ohio. This facility, which is strategically located to serve the Marcellus region and the future development we hope of the Utica Shale, commenced operation in the third quarter. Additional projects at our Alabama and Texas locations have increased our throughput capabilities and provided us with the flexibility to load our facilities with a higher percentage of these premium products. The substantial shift to horizontal drilling has increased the demand for premium and semi-premium connections. And while we have access to commercially available connections through various licensing agreements, we've also had significant growth in the sale of our suite of proprietary connections over the last 2 years as a result of our increased efforts to develop and market these connections. We believe our ability to apply our proprietary connections in line at our tubular production facilities will result in significant cost efficiencies that will serve to enhance our margins on the premium products that are increasingly required by our customers. We're continuing to develop additional connections to serve the increasingly demanding requirements for drilling across a broad range of applications, as we position our Tubular operations to be the complete solution supplier of choice in the North American market. Last quarter, we discussed several other projects we are pursuing to improve our cost structure and maximize the benefits from our strong North American iron ore resource base. We continue to make progress in obtaining the necessary permits to expand our pellet production capabilities at our Keetac ore mining facility in Minnesota. The air permit has been issued and became effective in October, and we currently expect our water and wetlands permits to be issued in the current quarter. It has been a long and complex permitting process, but we're now reaching the point where we can move forward with our evaluation of this project based on its economic merits, subject, of course, to market conditions. We also continue to make progress on improving our coke self-sufficiency through both increased production capability and reduced consumption rates. We expect our Gary Carbonyx project will start up midway through 2012, and bricklaying has begun on our Clairton C-Battery project. Full coke production from these projects is expected in early 2013. Our efforts to reduce our coke consumption rates at our blast furnaces by substituting lower cost fuels are on track, with increased usage of natural gas at our North American operations and the ramp-up of our new pulverized coal injection facilities in Serbia. With the completion of these projects and our aggressive use of gas in PCI to reduce our coke usage, our coke balance is moving to a much better position and our future coke infrastructure capital requirements should be reduced. Now I'll turn the call over to Dan for some additional information about the quarter's results. Dan?
Dan Lesnak: Thanks, John. Capital spending totaled $225 million in the third quarter, and we currently estimate full year capital spending will be approximately $860 million. Depreciation, depletion and amortization totaled $172 million in the quarter, and we currently expect to be approximately $685 million for the year. Pension and other benefits costs for the quarter totaled $149 million. We made cash payments for pension and other benefits of $133 million. In addition to these cash payments, we made a $140 million voluntary contribution to our main defined-benefit pension plan during the quarter. For the full year, we expect our pension and other benefits costs to be approximately $595 million and cash payments for pension and other benefits, including the $140 million voluntary contribution, to be approximately $735 million. Net interest and other financial costs totaled $144 million for the quarter and included a foreign currency loss of $92 million. Excluding foreign currency effects, the net interest expense for the third quarter was $52 million, and we expect to be approximately $55 million in the fourth quarter. Now Gretchen will review some additional information and the outlook for the fourth quarter.
Gretchen Robinson Haggerty: Thank you, Dan. Our cash flow from operations was $70 million for the third quarter and $108 million for the first 9 months of 2011, an increase of $586 million compared to the first 9 months of 2010. Cash from operations, excluding working capital changes, was $177 million in the third quarter, making our year-to-date total $731 million. Working capital increased by $107 million in the third quarter, largely from increases in our North American raw materials inventories. As we discussed with you last quarter, we are currently carrying higher than required raw materials inventories in light of current business conditions, but that could prove advantageous to us in the future. Our inventory balances also reflect our actions to restore steel inventories that were depleted in the first quarter in order to improve our customer service position and enable us to take advantage of future business opportunities. We have sufficient liquidity to carry these inventories, and we'll continue to adjust our raw materials and steel inventories going forward as appropriate. We ended the quarter with a strong liquidity position with cash of $270 million and total liquidity of approximately $1.9 billion. We do have some near-term financing plans that I wanted to discuss for a moment. As you're aware, under the terms of our separation from Marathon at the end of 2001, we are obliged to repay or refund on our own credit $196 million of environmental revenue bonds by the end of this year. Most of these bonds could not be called before the fourth quarter, so we've been monitoring both the tax-exempt and taxable bond markets for refunding opportunities as the year has progressed. We believe that the tax-exempt bond market currently offers the best opportunity for a potential transaction. We have obtained all of the necessary approvals from the 8 municipal authorities involved, and we're preparing to move forward. Alternatively, if the tax-exempt market does not prove to be attractive, we obviously can draw on our credit facilities to repay these bonds and can pursue a transaction in the taxable bond market at a later time. Now before I get to our fourth quarter outlook, I would like to give a brief summary of the new labor agreement for our represented employees at Hamilton Works. Consistent with all of our North American facilities, we have agreed to close a defined-benefit pension plan to new participants. We also have eliminated future cost-of-living increases to pensioners, with a onetime, lump sum buyout payment of $1,000 to approximately 4,000 pensioners. Our active employees will receive a signing bonus of $3,000 per employee, and wage rates will remain at the levels from the prior contract. As for our near-term plans for the operations, we have begun recalling employees for mandatory safety training and we are preparing to restart the cold mill and the Z-Line automotive galvanizing and galvaneeling line during the fourth quarter. And as John mentioned earlier, we're happy to get a good group of employees back to work. Now turning to our outlook for the fourth quarter of 2011. Our Tubular operations are expected to have another strong performance with operating results in line with the third quarter. However, we expect to report lower operating results in the fourth quarter for our North American Flat-rolled and European operations as a result of the slow and uneven economic recovery in those regions. We expect our Flat-rolled results to reflect an operating loss in the fourth quarter. Flat-rolled average realized prices in shipments are expected to decline as a result of cautious customer purchasing patterns shaked by the uncertain economic outlook and increasing domestic supply. We expected lower fourth quarter prices reflect lower average realized prices on spot market business and our index-based contracts, which will now incorporate the decrease in published market price assessments from the second to the third quarter. These market factors are expected to bring our operating results down to about a break-even level prior to the effects of increased maintenance outages and labor agreement and facility restart costs at Hamilton Works. With reduced capacity utilization due to market conditions, we are taking the opportunity to perform maintenance work on our facilities during the fourth quarter, resulting in additional costs of approximately $50 million when compared to the third quarter. We expect to incur approximately $30 million in costs in the fourth quarter related to the ratification of the Hamilton Works labor agreement and associated facility restart costs. Based on both the timing of the restarts of the cold mill and the Z-Line and the fact that we are not restarting all of the facilities at this time, we also expect that our unabsorbed facility carrying costs at Hamilton will be in line with the third quarter. We expect the fourth quarter results for our European segment to decrease compared to the third quarter of 2011. Shipments and average realized prices are expected to decline as market demand softens in response to the uncertain economic conditions in Europe, particularly Southern Europe. Operating costs are expected to decrease compared to the third quarter, reflecting lower facility repair and maintenance spending and lower raw material costs. The idle blast furnace at U.S. Steel Serbia is not expected to operate during the fourth quarter. Tubular fourth quarter 2011 results are expected to be in line with the strong performance achieved in the third quarter, as the demand for oil country tubular goods remained strong. Average realized prices are expected to be comparable to the third quarter and shipments are expected to be slightly lower as distributors actively control their inventory levels going into year end, particularly for non-OCTG products. Dan, that ends the outlook.
Dan Lesnak: Thank you, Gretchen. John, will you please queue the line for questions?
Operator: [Operator Instructions] We'll go first to the line of Nate Carruthers with Steel Market Intelligence.
Nate Carruthers - Michelle Applebaum Research: I had a few questions for you. First of all, on your domestic Flat-rolled business, I was wondering if you can give us some color on how shipments progressed throughout the quarter and then so far this month. And you guided the flat pricing for Tubular, and I was wondering if that is driven by a leveling out of spot prices or a change in mix.
John P. Surma: On the latter one on Tubular, Gretchen just went through the outlook so whatever we said, we said. I don't think we anticipate a big change in mix between seamless and welded. If there is, it's 1% or 2% here there, just mostly happenstance. There's no reason for a big mix change. And nor any particular change that we would anticipate in Tubular in the amount of program business and the amount of heat treat and alloy. And I think most of those factors will stay relatively similar for the fourth quarter. So it's pretty much just pure price side. And then we have to be a little uncertain about how the welded markets might behave just because the influence of the Flat-rolled market there can be significant. Can be. So when you put it all together, there was no particularly dramatic underlying message there, I don't think, as far as I can recall. On the pattern shipments, there's, again, nothing that I can tell you that would be insightful about the pattern during the quarter. I think the order entry rate in July, if I remember right, was the slowest of that time. And that would mean that shipments might have been a little bit slower later in the quarter, but nothing that would be necessarily indicative or revealing. And shipments and orders, so far, I think things are relatively steady, very competitive on the spot market side, but relatively steady. So no real story there, Nate, that we can see that would be worth mentioning. Gretchen, want to say something?
Gretchen Robinson Haggerty: No, I agree, John.
Operator: Next, we'll go to Justine Fisher with Goldman Sachs.
Justine Fisher - Goldman Sachs Group Inc., Research Division: I have a couple of questions just on the financing side. So for Gretchen, what would make you guys not go to the tax exempt market to refinance the municipal bonds? And then if you did you go to the taxable market, would the company considering raising some additional capital just to add to the balance sheet? I mean, you do have a lot of availability under your evolver, but $270 million is one of the lower cash balances that we've seen. Would you guys consider doing a larger deal either in the bond market or the convert to add cash to the balance sheet?
Gretchen Robinson Haggerty: Justine, I guess, on the latter question, I don't really feel compelled to do something like that. I think I'd want a better reason to do a significant long-term financing. I mean, I feel very comfortable with the credit lines that we have. As you may recall, we increased the size of our credit lines in July, when we renegotiated -- we renegotiated, extended our existing lines. So we added on the order of $250 million of additional liquidity in this line. So I feel very comfortable with that. And I think it's really more than sufficient to help us manage our cash balances, our $270 million cash balance. I mean, we -- it's easy for us to operate at those levels. I don't even think we need to be carrying that. So I'm not uncomfortable with our liquidity position from that perspective. As far as the tax exempt bond market goes, I mean, we just -- we got all the approvals, we're ready to go, we really have to do it by the end of the year. I think it would really just be a question of do we like the rates, how -- what's available. But we intend to move forward pretty quickly to approach that market. This time last year, it got a little choppy, and we actually didn't particularly like the market. But I think we're ready to go. And it seems like it's the best opportunity right now.
Justine Fisher - Goldman Sachs Group Inc., Research Division: Okay. And then just on the pension front for next year. I know it may be too early to talk to this, but I know that it's a lot of -- it's an issue that a lot of people are focused on in terms of the cash that the company may have to contribute to the pension plan last next year. Is there a ballpark figure that you can give us right now, just so that we can have the right number in terms of expectations and modeling?
Gretchen Robinson Haggerty: Yes, I think that's something that when we get to the end of the year, I'll take a look at it again because a lot of the measurement -- the measurement that occurs for official funding purposes is really a year-end measurement. But in looking at it, where we are today, I'm pretty comfortable with that $140 million number that we've used as our funding for the last couple of years. I mean, it is really more than adequate to cover our normal costs. And as you know, we've been funding at that level for some time voluntarily. And I think that's put us in a pretty good position in a very difficult market. So we'd be inclined to continue that practice. But right now, one of the reasons we've done that is to mitigate against the potential for a much larger mandatory funding in the future, and that strategy has worked for us over the years, so we'll probably just keep that up. But we, at this point, are not anticipating having the required funding amount next year.
Operator: Our next question is from Luke Folta with Jefferies.
Luke Folta - Jefferies & Company, Inc., Research Division: A couple of questions. First, Gretchen, you mentioned something about carrying excess inventories and that, that could be beneficial to you at some point in the future. Can you just expand upon that and maybe give us some color on what you're trying to say there?
Gretchen Robinson Haggerty: Yes, Luke, I mean, right now, and I think what I highlighted in my comments was carrying heavier levels, relative to our raw materials. Of course, we have a little bit heavier position in Europe because we went to a one furnace operation there, and we'll continue at that level, so we probably have more in the pipeline for our operations there than we needed. So we're working that down as we can with operations in Europe. But in North America, we've continued to operate our iron ore facilities as efficiently as possible. And as we're continuing to build some iron ore inventory at good rates because our facilities are quite competitive, we've also been -- we've been actively buying coal under our existing facilities and have acquired some additional coal at very good prices. So we do have, I think some -- we have a significant amount of inventory, more than our current business conditions would require, but we think that we're going to eventually have to use those inventories. So to the extent that we've got a cost that we're happy with, I think that could work to our advantage. And if we need to, we will sell some of those inventories, as we've done in the past, and bring that down.
John P. Surma: And just to add -- Luke, this is John. Just to add one point non steel inventory in North America both in processed and finished, we cut the inventory way, way back, of course, during the financial crisis. We took $1.5 billion out of our inventory, I think, all kinds considered. And we're working our way back up, and really never quite got our steel inventory finished in process we wanted from a customer service standpoint. And so the slightest winter operational disruption would be a problem for us from a customer service standpoint. We don't like that; neither do our customers. So we're being a little more thoughtful about how much we have in front of our coating lines and some slack capacity to ensure we can respond to operation disruptions if they occur. And I think that's been very useful from a customer service standpoint. Again, that's something we could convert back to cash very quickly. We just don't make as much and use it. But it's something that's been very useful from our customers' standpoint, and we like customers that are happy.
Luke Folta - Jefferies & Company, Inc., Research Division: Makes sense. Second question, you had -- John, you talked a little bit about the fact that you're considering all options for Serbia. And just in a hypothetical situation, if you were to close that operation, can you give us a sense of what the near term financial consequence is, and then also the kind of go-forward annual savings might be from a decision like that?
John P. Surma: Well, it's a -- hypotheticals are hard, Luke, so I'd rather not get into a hypothetical this or that. But it's a very legitimate question based on what I said. But I think if we took one course or another, the financial consequences involved the things they normally involve when you have any kind of a facility rationalization. And there's naturally some kind of employment component, there's a facility component then there's a contractual component. And that was the components that we had when we shut down the McDonald Works in 1979. It would be the same thing anywhere else you would do anyplace in the world. So the hypothetical would be there's different components, but we really aren't at that stage yet. And it really is a hypothetical I don't want to get into because it would cause, I think, more emotional distress that is necessary. It's something we've got to look at. As I said, we're going to look at all the alternatives.
Operator: Our next question is from Shneur Gershuni with UBS.
Shneur Z. Gershuni - UBS Investment Bank, Research Division: First question is related to Hamilton. With respect -- the agreement is done. It sounds like you're going to be incurring additional $30 million this quarter on top of the kind of the usual $40 million that you've been incurring. I guess, my question is, and I'm now looking for 2012 guidance here, but given this current quarter right now, if the operation was fully running, how much of that $40 million would be offset kind of in this kind of challenging environment that we have in the fourth quarter?
John P. Surma: That's a good question. And the fourth quarter I think we have to view as really a transitional period, from having everything down to getting everybody back in the plant. We've probably got a few hundred in that plant that already going through safety training and we've got a few more in the plant. We will probably end up having more employees on the payroll initially than we actually need to run the facilities we're going to bring up. But that's the deal for the moment. So there'll be some duplication, so to speak. And then really in the first quarter, when we're running the coke plant and the cold mill and the galvanizing line, we'll begin to absorb some of those fixed costs we weren't absorbing at all for the last 11 months. So we'll sort of begin to move into the right range, and then eventually we hope break into positive territory. And you have to consider not just what happens at Hamilton but all those tons are going to be -- or I think virtually all those tons will be coming from the Lake Erie strip mill. So that's all incremental tons, incremental heaps, incremental tons over the strip mill, which improves our productivity and cost there as well. So if you take the total package, we should start to improve our position vis-à-vis, if you what you think about it, the unaffected third quarter in the first quarter. It should get better after that.
Shneur Z. Gershuni - UBS Investment Bank, Research Division: Great. And in the quarter, you also mentioned you've got an increase of about $15 million related to maintenance CapEx and so forth. I was trying to discern whether this was, you're just trying to call it out and this was always going to happen in the fourth quarter, or have you moved some of the maintenance from 2012 into this quarter, and that's why the number has gone up? And should we be thinking about, thus, there will be less maintenance CapEx -- or maintenance costs in 2012 relative to your original plan?
John P. Surma: That's a really good question. I wish I had a good answer. I think when we look at it, the reason we called it out was because it was a little larger amount in comparison to the trend of earlier in the year. The last 2 quarters it was larger than the first quarter but not by a whole lot. And that trend is not unusual. We would tend to put a lot of our downstream maintenance outage work in the fourth quarter when we, typically, would have some downtime available because of customer vacations, et cetera. And we would do then less in the first quarter because we would expect there to be better order rates and some weather issues in the first place. So we try to schedule them as best as we can, and it's not just blast furnace. It's everything. So I think the heavier number in the fourth quarter this year, which we wanted to bring out to your attention was 2 things: One was we didn't do as much work in the second and third quarters because we were behind on deliveries and we postponed some things so we can't get back up and get our customers happy; and then while we're doing that maintenance work in the fourth quarter, we are going to reach ahead and do some things we otherwise might have done next year in the first or second quarters, do those now so we're sort of ready to rock and roll if things turn out to be good, who knows, in the first or second quarter. So a little bit of both, probably.
Shneur Z. Gershuni - UBS Investment Bank, Research Division: Last follow-up, if I may. As a result of these maintenance updates and so forth, are you seeing any improvement in lead times in the last week or so, anything of the sort?
John P. Surma: No, not really. The lead times are still relatively short for us, four weeks plus or minus, probably something like that for basic hot rolled for our Missouri and Midwest plants. So lead times, relatively brief. I think our customers are those that hold inventory for a living in the spot market kind of businesses are being very cautious, not surprisingly, with their commitments and not sure which way the market's going to go. And they're telling us just what they need and not telling us any sooner than they need to. Understandable. So no real change. Things are still being pretty close to the vest.
Operator: Our next question is from Brian Yu with Citi.
Brian Yu - Citigroup Inc, Research Division: John, it seems like over the last couple of years, a few years, we've had all these mini price cycles within the broader economic demand cycle. When you look at the environment today with capacity, where it is, service center shipments look fine, inventories actually gone up over the last few months. Do you feel like maybe the competitive environment now is somewhat different than the mini price cycles we've seen over the last few years? You need demand to either accelerate or people to shut in capacity for prices to begin recovering?
John P. Surma: Well, I don't know about the latter point, but I think we could sure use a nice, long uptrend in prices and we could sure use better demand. I think those will be 2 really good things for our company and probably for everyone else. But I'd say on the demand side, right, demand for us looks like it's okay. Some of the industries that we sell to OEM related are doing reasonably well. Automotive is okay, not where it was but better than the last couple of years. So we're pretty pleased that we're doing well there. The equipment manufacturers, one of our good friends and customers reported yesterday with very positive outlook. We'd love to see that. On the other end, the construction markets are still very slow, and that affects not just us but the whole sector. So I'd say demand when you add it all up is just okay. In the third quarter -- second and in the third quarter, then we had a set of economics that encouraged imports to flow and they did to some degree. That wasn't a good thing. It put pressure on prices throughout the second quarter into the third quarter. And then now there's some additional competition we're facing in the market and in the spot market. That's probably a hard thing for us at least to deal with. So I think that all adds up to maybe just a more difficult set of conditions that we have in front of us right now. Underlying demand is pretty good, but it hasn't caught up far enough to clear all this in a way that would make the kind of market we're looking for. So we're going to do what we have to do to make sure that our business runs the way we want it. We don't like to make a lot for inventory beyond what I just talked about. And we think that our configuration for the fourth quarter is about what we need to supply what we expect to get in terms of orders.
Brian Yu - Citigroup Inc, Research Division: With all these outages that you're taking with, how much available capacity do you think you'll have in the fourth quarter?
John P. Surma: If we have more than we are expecting to use right now, not a whole lot, but if we're x thousand tons a day and our expectation is to make that amount in orders, if we go up by 10% or 15% beyond that, we could probably still handle it in a relatively short time, and there's always the ability to reschedule a few things. So we've got some fire power left if things happen to get a little bit better.
Operator: And our next question is from Kuni Chen with CRT Capital Group.
Kuni M. Chen - CRT Capital Group LLC, Research Division: I guess, can you give us an update on where you are for coal requirements for next year?
John P. Surma: Oh, we're just in discussions. Certainly no -- we'll typically give you kind of where we ended up at in our January call. But just in discussions now, and most of the commodity markets are quite turbulent now, as you know, and so that causes some discussions to happen. But we're just in discussions today, and I'm really reluctant to either give our negotiators any more help than they want or anybody else. So I think our best bet is to just say we're in discussions, and next time we get-together, we'll let you know where we come up.
Kuni M. Chen - CRT Capital Group LLC, Research Division: Okay. And then just as a follow-up. On working capital, can you give us a sense of some of the moving parts between now and the end of the year? Is there going to be a large release of working capital in the quarter?
John P. Surma: No, I don't think -- Gretchen could correct me, but I don't think anything big, one way or the other, as I think Gretchen pointed out, we'll try to begin to work down some of the European materials. And it takes a little while to do that, but not a whole long time because we can just buy less usually. And we'll work down some of the U.S. raw materials, North American materials. That takes a little longer because our horizon's a bit longer there and the best way to do that is making more, not selling necessarily. But that will happen over not just this quarter but over some quarters probably. So and on the product side, no big change there one way or the other, either Tubular our Flat-rolled. So I'd say not a big move. Gretchen, would you say?
Gretchen Robinson Haggerty: Right. I agree.
John P. Surma: Very slight, if any.
Operator: Our next question is from the line of Dave Katz with JPMorgan.
David Katz - JP Morgan Chase & Co, Research Division: You talked about the continued strength of Tubular driven by a strong horizontal oil directed drilling. Would you be able to provide an update of any upcoming regulatory changes that you see as driving that segment or your other 2 segments?
John P. Surma: No, I mean, there's lots of regulatory discussion, of course, in the drilling business. And whether it's on the water side of things or air side, there's lot of discussion. But it's different in New York, Pennsylvania than Ohio, than Texas and Wyoming, and different in Canada. But there's nothing on our radar screen, although I shouldn't portray ourselves us experts, but the folks we talk to, nothing that we expect is going to change our supply patterns in a big way in the near term. Likewise, on the Flat-rolled side, there are probably more regulations around than we want, but nothing that we see causing big harm to us in the very near term. And in Europe, they're farther along on this carbon trading scheme, but I think having second and third thoughts about it, properly so. But that has not been a huge issue for us in Europe because we're a fairly efficient producer there. So I don't see anything on the regulatory side across our business horizon that's going to cause a major harm in the near term. Gretchen, is there anything that I'm forgetting?
Gretchen Robinson Haggerty: No.
John P. Surma: Okay.
David Katz - JP Morgan Chase & Co, Research Division: Okay. And then we have seen some industry stories indicating that due to, I guess, arguably, overcapacity at present, some other suppliers were taking advantage of export opportunities. Would you be able to provide an update on how you guys are pursuing that, and perhaps the changes that exports might do to the pricing structure?
John P. Surma: Well, exports are great if they make economic sense, and we do export from time to time. Our best export location, generally, has been in Hamilton and, of course, that's been unavailable to us for some time. So that's been more difficult, and we like to exports slabs or hot bands from there if occasion permits, so that really gets us more in the Midwest. And we might take some product down the Mississippi into New Orleans and export from there. And we've done some of that, and do Latin America and a few other places. And occasionally, we'll do some things over to Europe, either materials -- our European business, either materials or product, and not as much of that right now. For us, usually, we can find a better price and a better place for our product domestically. Or we are a seller or a semi-finished, and we try to direct those tons to markets that don't compete directly with us on the flat-rolled side, to the extent we can do that. So we've done some, but we're not, right now, a big Blue Water exporter only because we've been able to do better by selling closer to home. And for us that can include, by the way, going across the Rockies out to our joint venture we have in California, and supplying our joint venture out there, which for us is sort of like an export sale.
Operator: Our next question is from Mark Parr with KeyBanc.
Mark L. Parr - KeyBanc Capital Markets Inc., Research Division: I had a couple of questions. And again, there was somebody who kind of asked you this question, but do you have -- is there any kind of number you have in mind for domestic capacity utilization in the fourth quarter that you could share with us?
John P. Surma: No, I don't think so. Our utilization that we disclosed was 74% in the North America. Is that right?
Gretchen Robinson Haggerty: Yes. [indiscernible] Hamilton.
John P. Surma: And the AISI was down a little bit below that, we've generally been, in the U.S. at least. I think for the quarter, by the way I think I can tell you this, for the quarter, the U.S. AISI number was 74, 75, 76, somewhere like that. Ours was about, in the U.S., was about 82%. So we have generally run above AISI. When you factor in Canada and Hamilton being down, that's where the difference comes in. But for the fourth quarter, because we do have some work scheduled, likely would be a somewhat lesser number than it was in the third quarter but not dramatically, I don't think. It's really too soon to know how much we're going to have to run later in the quarter. But we've talked about a few outages, and we're going to do a few blast furnace projects. But some other things we're going to run pretty hard. So it shouldn't be huge change. It waits events, of course. It shouldn't be a big change.
Mark L. Parr - KeyBanc Capital Markets Inc., Research Division: Okay. All right. That's helpful. Also, I was curious if you could give us an update on the condition of the Fairfield blast furnace?
John P. Surma: Sure, it's fine. Yes. I know there were some legends in the Archie comic book story about that, but it's just fine. And I was amused because I finally figured out what was going on. There's a saying in the cast house, where you say the furnace went cold, and this little publication made it sound like it froze up, it was actually solid iron. When we say it went cold, it was at 2,400 degrees, not 2,700 degrees. So it was cold in a manner of speaking. It's just fine. It's an excellent furnace, and it's going hard. And it's a bit long in the tooth, I think the hearth went in down there in '95 or '97, something like that. So it's got a lot of million of tons on it, but it's doing just fine. It's an excellent furnace. It's one of our best in the company.
Mark L. Parr - KeyBanc Capital Markets Inc., Research Division: Okay. And then if I could, I'm not sure if this is a good question or not, but I'm just curious to get your thoughts. What are 1 or 2 things out of Washington that could happen that would really help you guys the most as you look into 2012, just from a volume perspective?
John P. Surma: Well I think a strategy, an energy strategy, which embraces natural gas and domestic liquids production I would put real high on the list. I think that's extremely important. And I mean not just because we're tubular producers, although that's certainly not a bad thing. Not just because we're big gas users, that's a really good thing. But because it would enable development of U.S.-based manufacturing in a huge way. And it would be one of the best things that could happen to U.S. manufacturing because the energy components that would be sort of the competitive advantage we would have with low-cost, reasonably priced natural gas is one of the best things that's happened to us. And it would be good for the overall manufacturing economy. And I think all the discussion about trying to get some calibration on the Chinese currency to have a level playing field is really important. There's discussion that we don't want to have a trade war. Well, I have news for you, we're already in one, and we're getting our butt kicked, okay? So and I'm always amused by not wanting to have a trade war and offend the folks when we're the customer. We are the importer, they're the exporter, and we're going to worry about offending them. It just seems to me to be completely backwards. So I think we need to have a better currency situation with China. And that would, again, give U.S. manufacturing, I think, a big leg up. And we've got great employment, we've got great education, we've got great capital, great resources. What we need is a market. And I think that would help us have a piece of that. So those are 2 things, I think, would be 2 really big positives for us.
Operator: And we'll next go to Dave MacGregor with Longbow Research.
David S. MacGregor - Longbow Research LLC: Trying to understand the European story a little better. Obviously, their cost per ton gets distorted by the fact you've got capacity down. Wondered if you could just talk about the European business in terms of metals margins year-over-year, and how that may have changed.
John P. Surma: Well, the metals margin are very, very negative, particularly further in the South and in Serbia where we operate. And I think the economics are very difficult right now. The growth rates in Southern Europe are flat to negative. Credit is virtually unattainable, and we have material on hold for long periods of time, hard to get paid. Our materials costs remain relatively high because we're buying in a competitive market and our logistics are not the best, a little bit far away. Our carbon costs are high, although we're working on that with the pulverized coal now, but our carbon costs are high because there's no coke plant in Serbia. So we've got just a tough set of economics there. We made a lot of money there before because it was a decent market and was coming back strong. It was kind of our piece of the developing world. But the overall market size has not really recovered from what was an extreme recession there in 2008 and '09 period. Mostly construction-related with credit problems is, really, hasn't recovered since 2008, 2009. So the metal margins have been difficult in Serbia for all those reasons. Slovakia in the north, where we have a little bit more of an exposure to manufacturing-based markets in Poland and Germany and Austria and further north and west from there, as well as in the V4 countries that had a commitment to manufacturing as their economic breakthrough sector. There we've done better and our materials costs are a little more competitive. We've got a good coke plant, we've got a power plant, decent energy costs. So our costs are much more competitive. Better finishing capabilities, we've got galvanizing, electromotor laminate, a good tin plate facility. So just a better suite of products, little more cost-effective. But even there, the margins have been squeezed just because of the overall malaise in the European market. So I'd say varying degrees, tough market, costs are relatively high, margin squeezed.
David Lipschitz - Credit Agricole Securities (USA) Inc., Research Division: In Serbia, do you need a cyclical recovery to get this business back to an acceptable level of profitability? Or has something changed structurally within that market, whether it be competitive or otherwise, that would suggest that even with a cyclical recovery, it's going to be tough to make money there?
John P. Surma: No, I don't -- I think if there was a decent economic recovery, I think we can do fine. Keep in mind, Serbia is part of Yugoslavia, 20 years ago it was a fairly prosperous part of the world. And that region was the most prosperous country in the world with reasonably high steel consumption rates per capita. So it's really quite a good market. And that market was cut in half or 1/3 during the war years back to maybe 1/2 of its old size, 60% of it maybe just in general numbers, during '06, '07 part of '08. And we did pretty well there for that period of time. Now we're back into about 1/2 of that size, so it's been very difficult. So I think it's more that there's an economic the picture there, which could work, and I think a government which is supportive of economic development now. But it's just been a hard place because the overall economics in the South Europe are so troubled.
Operator: The next question is from Timna Tanners with Bank of America.
Timna Tanners - BofA Merrill Lynch, Research Division: I just want to check with you on the projects that you've gone through. So Keetac, it sounds like you're still considering. But the last presentation we're just comparing, you talked quite a little bit about DRI opportunities, and we all excited and started to learn about the economics there. How do you think about whether or not to go ahead with that and balance that against your recent free cash flow performance?
John P. Surma: Well, we can only spend what we have, Timna. So I think you're hitting on the right point. The economics for us of using our own pellets and reasonably priced gas to make DRI are as good or better as they were the last time we talked about it. Those are wonderful economics for us, and the only question is the order and how much and how fast. And we don't think the economics are going to go away, necessarily, but the Keetac project would probably be the one to start with, it seems to us, because that would get us to self-sufficiency and allow us to have some additional pellets to work with. There are different ways to get there, but that would be one. It's a big project, a lot of money, we make sure we have enough capital to do that. The DRI with gas would be wonderful, but if we're taking pellets away from our existing facilities, is that what we want to do? So we're still thinking our way through that. But economics are just as good or better as they were before. The only question is what order and how much and how much can we afford.
Timna Tanners - BofA Merrill Lynch, Research Division: Okay. And then just one quick clarification, if I could. When you talk about maintenance in the fourth quarter, that's maintenance that you do a couple of weeks, you finish up, it's not in response to kind of balance in the market cutting back, necessarily, it's more maintenance that's kind of normal course of your business?
John P. Surma: No, I think it's normal maintenance. Although we do have the ability to schedule some of those. If we're going to do a large, hot strip mill rebuild, there's like 10,000 individual jobs you have to do to get that done. It takes a couple of weeks to schedule all kinds of stuff around that. We try to pick out a time when we think we can do that and cover the miss with other capacity we have. So the fourth quarter, ordinarily, isn't the strongest quarter. In fact, it's one of the weakest from a seasonal standpoint. So this is ordinarily the time we do these sort of things. And we calculated it all and figured we can get most that stuff done this quarter and be teed up for a better start next year.
Operator: Our next question is from the line of Arun Viswanathan with Susquehanna.
Arun S. Viswanathan - Susquehanna Financial Group, LLLP, Research Division: I guess, first off, was just I just wanted to clarify. So what were the expectations on the pension, I guess, expenses for next year, as well as cash flow, if you have that?
Gretchen Robinson Haggerty: Well, on pension expenses, we will not determine that until the end of the year because we actually set our discount rate at the end of the year. And it'll depend on where rates are. But I would say, overall, if we were doing it today, rates are lower than they were at the end of last year. We do have some numbers in our 10-Q, which we'll be filing -- it has been filed, which outlines in a constant discount situation where our pension costs would go next year. And they actually would decline because some of the amortization kind of falls. But if discount rates will change, I think we have a sensitivity there. 0.5% change in discount rate is about $35 million in expense. And so we had a 5% discount rate. And I think if people were setting rates today, 50 basis points, they would probably be 50 basis points lower, if not lower than that. Okay? So that just gives you -- it's all laid out there, it'll give you the sensitivity, but we actually will not be able to tell you until we get to the end of the year and we set our rates.
Arun S. Viswanathan - Susquehanna Financial Group, LLLP, Research Division: The other question I had, I guess, was on -- well, 2 quick ones, but on price first of all. Given that you do have some contract business, you will likely see some further declines in the fourth quarter, right, that were as a result of third quarter benchmarks decreasing?
John P. Surma: Yes, I think we say in our earnings release that our quarterly contracts, which will now be adjusted comparing second to third there, if you just look at the various indices, you can see a pretty big step down from those 2 quarterly calculations. That actually helped us in the third quarter and now will begin to work against us. We're catching up with the market, so to speak, in the fourth quarter. So you're quite right.
Arun S. Viswanathan - Susquehanna Financial Group, LLLP, Research Division: Right. And then when you -- do you renegotiate your contracts, I guess, as well, in the third quarter? And can you just update us on how that went, I guess, for next year?
John P. Surma: Well, if you're talking about -- we have a couple of different types of contracts. One is those that are based on some market reference of some kind. It could be an index, could just be spot. But some markets reference, some market indices, those are not really subject to negotiation other than saying, "Okay, what's the index and how many tons and for how long?" But we negotiate those every month, quarter, 6 months, annual. But our longer-term contracts that would be more OEM-oriented, more higher value products that would be either firm pricing for period, year, more or less, or firm pricing with a cost adjustment, which we're doing more of these days. And that may make up 1/3 of our business, plus or minus. We're doing some of those negotiations right now and wanted to be supporting about it. I don't want to get into who we're negotiating with or how much, but I think we'll have a normal good discussion and we'll see where we come out. But I think we've been doing reasonably well with those customers over the last few years because we're getting them what they need and we're getting it to them when they need it. And I think the markets award us for that. And we're confident we'll end up in a good place for us and for them.
Operator: Our next question is from Richard Garchitorena with Crédit Suisse.
Richard Garchitorena - Crédit Suisse AG, Research Division: So a couple of quick questions. First, I just wanted to break down some of the various carrying costs and maintenance charges. You mentioned in the press release that you incurred, roughly, $40 million in carrying costs related to Hamilton over the past couple of quarters.
John P. Surma: Right.
Richard Garchitorena - Crédit Suisse AG, Research Division: So how much, given that you've restarted some of the operations, how should how much should we expect going forward?
John P. Surma: Well, those costs, which about half of which were fixed things, like property taxes and pension charges and depreciation, overhead allocations, those kinds of the things, most of that stays, it just gets absorbed. As we begin to make something it gets applied to the products. So and then there'll be a variety of controllable costs that are accounts payable, fuel, utilities, labor, those that will get into the product eventually. So they'll be a portion of all those costs to the extent they relate to the facilities we're going to run, which are the coke plant, the cold mill and the galvanizing line, the Z-Line, as we call it. Those products will begin to absorb those costs. But we're not going to be doing much manufacturing until the beginning of next year. It just takes a long time to get the facilities ready, get the people back trained. The Z-Line, itself, is one of the largest zinc pots in captivity. It takes a long time to heat it up and to get it ready to go. So we really won't be doing much big volumes until we get into the first quarter, probably. So most of those costs are going to flow-through in the fourth quarter as it did before. Some gets absorbed, not a lot. And then we get into the first quarter, we have things up and running. And a good bit of those costs get absorbed in the product costs, and we also get higher utilizations at Lake Eerie because we're going to be bringing hot bands over from Lake Eerie and so that helps us there. That would be incremental from a utilization standpoint. And then to the extent, if we're not using the steel shop and the blast furnace at Hamilton, then those costs that are fixed costs just remain and won't get absorbed unless and until we start it up. So I think our costs actually go up in the fourth quarter because, as we said, we've got the elements of the labor contract that have to get paid and satisfied. And then beginning in the first quarter, things will start to move in our direction.
Richard Garchitorena - Crédit Suisse AG, Research Division: Great. That's very helpful. In terms of other operations there, what would you need to see to restart those? And in terms of how should we think about the additional cost to bring the rest of them online?
John P. Surma: I don't -- I mean, there'll be some costs to bring the blast furnace and the steel shop online, but it's not a huge number. It's somewhere between $10 million and $20 million. And a lot of that is just putting fuel into the system and some initial iron that you have to dump because it doesn't have the right quality, et cetera. So you go through that process, it's not a long time, not a huge amount. And I think we know how to do that reasonably well. We've got materials that are staged there, good cost materials, good quality materials of our own make. And when we see a market that requires that volume, the costs are going to look pretty good because we've got the materials. They're our materials. The costs are going to be very competitive. We're ready to make that go when we need it, but we need to have a market that says it can take it. So and we've got a strip mill at Lake Eerie that can run it. So we'd love to do that, but we need to get a market that says, "We need it."
Richard Garchitorena - Crédit Suisse AG, Research Division: Great. And my last question. Just want to touch on the Tubular, obviously a very good quarter. Can you give us an update in terms of what you're seeing in terms of inventories? Also the import situation? I think you mentioned imports, but that's more related to the carbon side, I guess. Just maybe a little -- some clarity on that.
John P. Surma: Imports remain high. I think it's almost 1/2 of the market. But because the drilling rate has been high, there's been sufficient demand to absorb it in the inventory level, which is where you would see, I guess, a miscalibration. Inventories have remained reasonably good in the 4 to 5 to 6 months supply, depending on product. We don't observe a major problem yet in inventory. So overall, the balance in the Tubular market looks okay. We think it would be better to have less imports, and some of them we think are way, way unfairly traded, but that's a matter to take to court if we decide to. But I think the overall supply and demand balance in Tubular looks okay.
Operator: Our next question is from Sal Tharani with Goldman Sachs.
Sal Tharani - Goldman Sachs Group Inc., Research Division: A couple of questions on the input costs. John, you mentioned that on the pipe side, your input costs declined, which makes sense. And you mentioned the flat-roll for the welded tube. How do you account for the transfer price of your liquid steel for the non-welded tubes?
John P. Surma: Okay, good question. But the welded, the hot band, we just transfer that, essentially, at market price. We sell the same thing to others who do the same thing our Tuber business does. And so we're giving the same price and let the market decide whose pipe they like better, we think that's the best way to do it. On the rounds, the solid rounds we make in Fairfield that we then transfer to Tubular either in Fairfield or some up to Lorain, we set -- we try to set a fully absorbed cost with all the various alloying additions in it at the beginning of the year. And it's a full cost, not for the margin, but a full cost. And then we try to keep that stable unless there's a major change and some elements happen from time to time when some of the alloying agents, molybdenum, whatever, might change a lot, we would adjust it. But that's generally a full cost transfer. If there was a good observable public market for rounds, we'd use that. But there really isn't, so we just kind of make it a full cost number and keep it the same.
Sal Tharani - Goldman Sachs Group Inc., Research Division: Got you. And also, I mean, I'm looking at your fourth quarter guidance. It looks like the prices will be same, but factory prices are actually coming down more. So won't you get a benefit from that, or is it going to be offset by the lower volume, that's why you have a sort of more flattish operating profit guidance?
John P. Surma: From a Tubular standpoint?
Sal Tharani - Goldman Sachs Group Inc., Research Division: Yes, from a Tubular standpoint.
John P. Surma: Yes. Well, we're not necessarily prepared to surrender the Flat-rolled price just yet. We think we've got a chance of trying to hold the line here to some degree. And to the extent that, that would move off faster than we might be thinking, there might be some slight margin expansion. But then that can engender some price pressure, as well, on the top line sale. So we're probably being a little bit cautious there.
Sal Tharani - Goldman Sachs Group Inc., Research Division: And lastly, in Europe, how quickly you get the benefit of lower prices which you are seeing in the iron ore and coking coal market? How far -- what's your contract mechanism for purchases? Is there a lag in there or is it at a spot market price?
John P. Surma: No, it's at a quarterly price for the most part. For the part, it would be quarterly. So we're in discussions now about our volumes and prices for the first quarter next year. It will be relatively soon. So that's something we set quarterly. And it changes pretty responsibly to what's happening in the market. It's not always where we want it. In fact, it's never where we want it. But probably never where the supplier wants it, either. But we generally negotiate in good faith. And it tends to follow what's happening in the broader markets pretty quickly. But it's a quarterly thing.
Operator: Our next question is from Charles Bradford with Bradford Research.
Charles A. Bradford: I'd also like to talk a bit about Tubular, because there's been a lot of new capacity coming online. Boomerang's been online for a while. V&M is supposed to be hot commissioning this quarter. Lakeside is up. Are you seeing any impact from this additional supply?
John P. Surma: Not that we could discern, Chuck. To be honest, I think it's kind of early for that. It's a very competitive market, very competitive world, but we're out competing every day. And so far, you can see what the results are. We did, I think, gave a reasonably good account of ourselves in the last quarter, and expect to again this quarter. I think that, in part at least, the level of activity, we're well over 2,000 rigs, at least we were the last time I checked, well over 2,000 rigs. The offshore market's coming back slowly, but I think appreciably. And then there's a pretty healthy amount of line pipe that's going to get laid to move all this stuff that's being developed now. So there's a good bit of work going on, and we're still pretty busy, and maybe busy enough to keep everybody busy. I don't know, but for the moment, supply-demand balance in the types of material, the heat treat, the alloy, the high-end stuff that we're making, that seems to be a pretty decent place to live right now.
Charles A. Bradford: I mean, [indiscernible] coming that's going to maybe start to have an impact at some point?
John P. Surma: It may. I mean, when we're out producing, less is better, but it may. And it's a free-market, and let everybody have their best shot, but it may.
Operator: Our next question is from John Tumazos with John Tumazos Very Independent Research.
John Tumazos - Independent Research: There's a lot of great things going on. Auto sales were 13.1 million units last month, the directional drilling, horizontal seamless tube, Cat, Deere steel exports. You got this wonderful opportunity to buy back your stock one quarter cheaper than you issued it 2 years ago. Why don't you -- you got at least 10 JVs, galvanizing, this, that, you mentioned a few of them. Why don't you sell something that isn't real core of your business and buy back 1/10 of your stock at $330 million. I'm a shareholder. Go kick ass, John.
John P. Surma: I'll let Gretchen comment on that. But I'd just point out, John, to you, because I think you know this, everybody else does -- although Gretchen may decline further comment. But when we've been in a position where our cash flows would support it, we try to have a pretty balanced capital allocation. And we did dividends, we had buybacks, we used capital for inside of business, we funded pension plans. So we don't mind doing that. And the joint ventures, since you mentioned it, we have fewer than we used to. And we've tried to really concentrate on those that are relevant to our core business, like the Kobe joint venture, PRO-TEC. So your basic premise is one we agree with, and we wish we were in a position to do that.
Operator: And our final question will come from the line of Mark Parr with KeyBanc.
Mark L. Parr - KeyBanc Capital Markets Inc., Research Division: John, one thing. I wanted to try to get a little more color on this PRO-TEC expansion with Kobe.
John P. Surma: Sure.
Mark L. Parr - KeyBanc Capital Markets Inc., Research Division: And as you look at the automotive markets' next move into this advanced high strength steel, these platforms. I mean, how do you view your position going into that? I mean, do you see your market share staying fairly stable? Do you see this is an opportunity to be more offensive? Could you -- I'd really be curious how -- what your view of the opportunity is, and how aggressively you plan on pursuing it?
John P. Surma: Well, I think the fact that we're building this big facility is evidence that we intend to be very aggressive in pursuing this market. It's a key market for us. And our entire system, Mark, all the way back to Minntac, Minnesota, is designed to be able to make a material that these really high-end, important customers want. And this new facility is just the next step in making sure we're there. And that we can give them what they want competitively against others who do sort of like what we do. And we think this facility will be the class of its kind, and the only one of its kind, actually, in North America, with technology that we're developing with our friends at Kobe, which is world-class. And then we also think that if it really gets us where we need to be, we'll keep working at it, but a big step towards where we need to be, to keep steel the material of choice, and to turn them away from thinking about less dense materials that have much higher cost, much more difficult manufacturing abilities, and much, much, much larger carbon footprint. So we think steel is the right answer. And we can get it really light, really thin and really strong, we've got something to talk about. So it's part of all that. And it's a big step for us. It's a big undertaking, big project, a lot of money. But to be a company that does what we do, we need to do this, and we're at it as hard as we can. I'm going to be there tomorrow to take a look at the construction project, as a matter of fact, I can't wait to see it.
Operator: And to the presenters, any closing comment?
Dan Lesnak: I would just like to thank everybody for their interest and their participation. And we will be back on in January. Thank you.
Operator: Ladies and gentlemen, this conference is available for replay. It starts today at 4:30 p.m. Eastern, will last until November 1 at midnight. You may access the replay at any time by dialing (320) 365-3844, the access code 219644. That does conclude your conference for today. Thank you for your participation. You may now disconnect.